Operator: Ladies and gentlemen, thank you for standing by. Welcome to Copa Holdings Fourth Quarter Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question and answer session. At that time, if you have a question, you will have to press star one one on your touch-tone phone. As a reminder, this call is being webcast and recorded on February 13, 2025. Now, I will turn the conference call over to Daniel Tapia, Director of Investor Relations. Sir, you may begin.
Daniel Tapia: Thank you, Carmen. Welcome everyone to our fourth quarter and full year earnings call. Joining me today are Pedro Heilbron, CEO of Copa Holdings, and Peter Donkersloot, who was recently appointed as the company's CFO. First, Pedro will start by going over our fourth quarter and full year highlights. Afterwards, I will go over our financial highlights. Immediately after, we will open the call for questions from analysts. Copa Holdings financial reports have been prepared in accordance with international financial reporting standards. In today's call, we will discuss non-IFRS financial measures. A reconciliation of the non-IFRS to IFRS financial measures can be found in our earnings release which has been posted on the company's website copaair.com. Our discussion today will also contain forward-looking statements not limited to historical facts, that reflect the company's current beliefs, expectations, and/or intentions regarding future events and results. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially and are based on assumptions subject to change. Many of these are discussed in our annual report filed with the SEC. Now I'd like to turn the call over to our CEO, Mr. Pedro Heilbron.
Pedro Heilbron: Thank you, Daniel. Good morning to all. And thanks for participating in our fourth quarter and full year earnings call. Before I start, I want to welcome Peter Donkersloot into his new role as CFO. Peter has a strong record of leadership and strategic vision, having held key positions with full P&L responsibility in multiple countries across the continent, for a large publicly traded company, and for the last five years as Copa's head of HR, where he has been an integral part of our success coming out of the pandemic. His understanding of our operations and company culture combined with his strong financial acumen makes him uniquely qualified to lead our financial strategy as we continue to grow and evolve in a rapidly changing industry. We're excited to have him step into this new role and look forward to the positive impact he will undoubtedly bring. Peter will officially join the finance team on March 10, following his transition from his current role in HR. Peter, I'll turn it over to you.
Peter Donkersloot: Thank you, Pedro. And thanks everybody for joining our call today. It has been a great honor to lead Copa's HR team for the last five years. And I'm truly excited to take on the role of CFO. As Pedro mentioned, in addition to my most recent experience leading the HR team, I've worked in many countries through the continent as General Manager as well as overseeing commercial operations, logistic risk assessment, and financial planning. As you can imagine, as a Panamanian, I'm very proud to be part of Copa's management, especially given our track record of delivering product and connectivity our customers value, combined with strong financial results and industry-leading unit cost. I'm eager to lead our finance team in building on the strong foundations and continue to deliver value to our shareholders. Back to you, Pedro.
Pedro Heilbron: Thank you, Peter. I want to start by expressing my sincere appreciation to all our coworkers. Their dedication and hard work have been essential to Copa's leadership in Latin American aviation and strong financial results. To them, as always, my highest regards and admiration. As detailed in our earnings release, we delivered another quarter and full year of solid financial performance, including strong operating margins. Despite facing several challenges throughout the year, such as the partial grounding of our 737 MAX 9 fleet in January and the sudden cancellation of flights between Panama and Venezuela at the end of July, we were able to deliver an operating margin of 21.9% for the year. Our 2024 financial results are a testament to the disciplined execution of our business model, our focus on low unit cost, continued expansion of our leading hub of the Americas, and a passenger-friendly product, including best on-time performance. The combination of these factors has allowed us to deliver strong financial results on a consistent basis. Now, I'll go over the main highlights for the fourth quarter. We increased capacity by 7.2% year over year. Unit revenues or RASM came in at 11.3 cents, a 10.4% decrease compared to Q4 2023, mainly driven by a 10.8% yield reduction. The yield reduction was mainly driven by weaker currencies in Latin America as well as increased industry capacity in the region. Unit revenues were also impacted by the ongoing effect of the rescheduling of flights due to the cancellation of the Panama-Venezuela operations at the end of July. Unit cost excluding fuel or CASM ex-fuel came in at 5.9 cents, a 2.6% improvement compared to Q4 2023, mainly driven by the increase of direct sales in both copaair.com and our lower-cost NDC travel agency channel. Our operating margin for the quarter came in at 23.3%. As for the full year 2024, capacity increased by 8.6% year over year in line with our last guidance. Unit revenues or RASM decreased by 8.2% compared to 2023, to 11.5 cents. CASM ex-fuel came in at 5.8 cents, 3% below 2023. This is a milestone achievement for us, as we delivered our full-year CASM ex-fuel target one year earlier than stated in our 2023 Investor Day. And as I mentioned in my opening remarks, we achieved a 21.9% operating margin for the year. On the operational front, Copa was recently recognized by Cirium for the tenth time as the most on-time airline in Latin America for 2024. Copa's on-time performance of 88.2% was once again the highest of any carrier in the Americas and the third best in the world. Additionally, for 2024, Copa was recognized by Skytrax for the ninth consecutive year as the best airline in Central America and the Caribbean. These awards belong to more than 8,000 coworkers who day in and day out consistently deliver a world-class travel experience for our customers. Turning over to our expectations for 2025, in terms of demand, we're projecting a continuation of the current demand environment in the region. On the cost front, we expect to deliver consistent unit cost year over year, maintaining our cost discipline. These two factors together lead us to once again expect to deliver strong margins for the year as well as continued growth as we anticipate growing our year-over-year capacity within a range of 7% to 8%. Daniel will provide more details regarding our full-year guidance. To summarize, we've delivered strong fourth quarter and full-year 2024 financial results. We continue to execute on our cost efficiency, which remains key for our strategy going forward. We will keep growing our network, the most complete and convenient hub for travel in the Americas, and expect to deliver strong financial results in 2025. And as always, our team continues to deliver world-leading operational results and a passenger-friendly product. Now, I'll pass it over to Daniel, who will go over our financial highlights.
Daniel Tapia: Thank you, Pedro. We reported a net profit for Q4 of $166.2 million or $3.99 per share. For the full year, our net profit came in at $608.5 million or $14.56 per share. In terms of operating income, we reported an operating profit for the quarter of $204.2 million and an operating margin of 23.3%. Our operating profit for the full year came in at $753.4 million and a 21.9% operating margin. Turning now to our balance sheet. As of the end of the year, we had over $1.4 billion in cash, short and long-term investments, which represents 42% of the company's last twelve-month revenues. In terms of debt, we ended the year with $2 billion in debt and lease liabilities and an adjusted net debt to EBITDA ratio of 0.5 times. Our average cost of debt, entirely related to aircraft financing, remains highly competitive at an average rate of 3.5%. Approximately 65% of this debt is fixed rate. Regarding our fleet, we received two additional 737 MAX 8s in the fourth quarter and ended the year with a total fleet of 112 aircraft. Looking ahead to 2025, we expect to receive 13 additional 737 MAX 8s starting with two in June and one additional Boeing 737-800 freighter. With these additions, we expect the year-end fleet to reach 126 aircraft. As of now, we have secured an operating lease agreement for the additional freighter and financing for three of the Boeing 737 MAX 8 deliveries via JOLCO financing. Turning now to the return of value to our shareholders. I'm pleased to announce that for 2025, the board of directors has approved a quarterly dividend payment of $1.61 per share to be paid in the months of March, June, September, and December, subject to the board ratification each quarter. I'd like to highlight that this maintains last year's dividend payout. The first quarterly payment will be made on March 14 to all shareholders of record as of February 28, 2025. Furthermore, during 2024, the company has repurchased $87 million of its ongoing $200 million share repurchase program, which represented approximately 2% of the total outstanding shares as of the end of 2024. $37 million of the $87 million were executed in the fourth quarter. Finally, turning to our outlook. Consistent with what Pedro shared, we can provide the following guidance for the full year 2025. We expect to increase our capacity in ASMs within a range of 7% to 8% year over year. And we expect to deliver an operating margin within a range of 20% to 22%. We are basing our outlook on the following assumptions: load factor of approximately 86.5%, unit revenues of around 11.3 cents, CASM ex-fuel of approximately 5.8 cents, and we're expecting an all-in fuel price of $2.00 per gallon. Thank you. And now we'll open the call for questions from analysts.
Operator: Thank you so much. And as a reminder, to ask a question, please press star one one on your telephone and wait for your name to be announced. To remove yourself, press star one one again. We ask that you please limit your questions to one and one follow-up. Please standby while we compile the Q&A roster. First question is from Savi Syth with Raymond James. Please proceed.
Savi Syth: Hey. Good morning, everyone, and congratulations, Peter. I look forward to working with you. Just if I might, on the fleet details that you shared, it looks like the MAX is still a little bit lower than you thought in August, but a little bit more. Is that kind of the color that Boeing's giving you? And then as you looked at 2026, it looks like only six. So curious why the slower delivery expectation and just general thoughts on your thinking about this capacity growth.
Pedro Heilbron: Right. So without making you call Boeing, they explained the delivery schedule. We're actually okay with the schedule we're getting. So it's 13 aircraft this year. It's most in the second half of the year. So we'll get two in June, and the other 11 in the second half of the year. But many will be in the fourth quarter and at least early in 2026. So we could think it's 11 this year, eight in 2026 in terms of when we're going to activate them. And we feel that's okay in terms of the opportunities we see for additional frequencies and new destinations. It works perfectly fine with that delivery schedule.
Savi Syth: That's helpful. And just maybe really a follow-up related to that. On the CapEx side, just is the thinking then still for this year mostly unchanged, or does that move up? I think the last time it was I think that gross CapEx may be closer to $900 million in cash CapEx of $350 million. And is that, like, a good way to think about next year as well?
Daniel Tapia: Hi, Savi. Daniel here. So, yeah, CapEx for this year, it's a functional change. It will be a little bit lower between the $850 million range. Cash CapEx, probably around $200 million. Next year, it's gonna be lower, given we have only six deliveries. Well, that's sorry. Approximately $450 million next year.
Savi Syth: Very helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Duane Pfennigwerth with Evercore ISI. Please proceed.
Duane Pfennigwerth: Hi. Good morning. I wonder if you could speak to the sequential trend in RASM relative to the fourth quarter decline and, you know, the prospects for an inflection in the back half of this year.
Pedro Heilbron: Okay. So as you know, we give yearly RASM guidance, not quarterly guidance. But in general terms, our guidance and what we see especially in the second half of 2024, was the impact of currency weakness in our region. In Brazil and a few other countries, but also additional capacity, industry capacity in general, that includes our own growth. And other airlines in the markets that are relevant to Copa. Which are the ones we focus on. And we're assuming kind of the same trend to continue this year, maybe a slightly improvement in the first quarter, but overall pretty much the same trend. So you could say rightly so that there could be a positive inflection point in the second half of the year if everything goes the right way. So we are guiding for kind of more of the same and not for a significant recuperation on currencies or strength of demand or capacity. Yes, the second half would be better.
Duane Pfennigwerth: Thank you.
Operator: Thank you. One moment for our next question, please. And it's from the line of Guilherme Mendes with JPMorgan. Please proceed.
Guilherme Mendes: Hey. Thanks, everyone, and best wishes to Peter on this new role. Pedro, you mentioned several times about the, let's say, excessive capacity in some of the regions that you compete, potentially impacting yields in RASM into this year. Can you please provide more color on which regions or which routes exactly are you seeing more, let's say, overcapacity or a tougher competitive environment? Thank you.
Pedro Heilbron: Right. So, well, usually when we talk about our region, it's, of course, the Americas. Where we operate, and it includes North America, Central, South, and the Caribbean. And it changes. Obviously, there might be a country in particular that gets more capacity at a given time, but it usually comes from the whole region. And it's hard to separate by specific countries. But what we have seen is that even though overall industry capacity has been growing somewhere between 5% and 10%, maybe in the 6% to 7% rate, which is similar to what our growth was in 2024. In some markets in particular, like, for example, Brazil, Colombia, maybe a little bit in Central America also. We have seen capacity growth more close to the 20% range. And that, in some cases, includes some of our own capacity, I must say.
Guilherme Mendes: Got it. Thank you.
Operator: Our next question comes from the line of Tom Fitzgerald with TD Cowen. Please proceed.
Tom Fitzgerald: Hi. Thank you so much for the time. Would you just mind updating us how you think about managing your inventory and revenue management broadly just given the FX volatility that we've seen in some of your major markets like Brazil or Mexico.
Pedro Heilbron: Well, the FX volatility we were exposed to last year was higher, and the impact to the bottom line greater than what we had seen in a while. I believe the year before 2023 was almost nothing. And this year, we're actually off to a better start. We have made up for some of the losses in 2024. It's mostly translational. Sorry. That was a hybrid of transactional and translational. So it's mostly translational. So it depends on our net asset value. And on our average net asset value. So some of the currencies have strengthened this first month of the year, so some we've made up. But it's very hard to predict. We don't really and we I must say we price in dollars. We definitely we price in dollars, but it's sold in the local currency at the dollar exchange rate for that day, but our net asset gets impacted in that translation. So we don't really plan for that, and I don't think there's much we can do except, for example, in Brazil, where we sell in installments, we do hedge half of our Brazilian sales. So of the loss that you see in our P&L close to $5 million shows up in a different line. Because that's our hedge gain from our Brazilian currency hedge. So the net impact is really closer to $28 million for the year than $33 million.
Tom Fitzgerald: Okay. That's really helpful. Thanks so much for that color. And just as a follow-up, what are you hearing from some of your corporate clients in the multinationals in the region? Just how they're thinking about business travel and demand just given all the noise around tariffs and geopolitics. Thanks again for the time.
Pedro Heilbron: Yeah. We're very much in intra-Latin America, US to Latin America, and what we're seeing, I would say, is in terms of percent of business traffic in our corporate accounts, is flat pretty much right now, year over year. And we're expecting we're not expecting growth there. We think it's gonna remain flat. I mean, there will be growth, tied to our capacity, but not in share of revenue. So what we're hearing, it doesn't really change the picture. In intra-Latin America and US to Latin America traffic.
Operator: Thank you. One moment for our next question, please. And it's from Alberto Valerio with UBS. Please proceed.
Alberto Valerio: My question ever. Can you hear me now?
Pedro Heilbron: Yeah. Yes. Hi, Alberto. Yeah. We hear you well.
Alberto Valerio: Hi. Hi. Thank you. Thank you for taking my question. I had one on the guidance that you guys provide. You just released the traffic for January and it became really strong. Remember that we had some issues on routing last year. But looking forward, in a seasonality base, it looks like the guidance holds a little bit conservative. And am I wrong on this assumption for the traffic for the year? At a state the January or January was one-off stronger than usual for the MAX.
Pedro Heilbron: Yeah. January, it's impacted by the MAX grounding in January 2024. So and it's a footnote in our traffic release. Because, of course, that 20-something percent ASM growth it's only because of that, you know, the grounding in January. But for the year, when we average out that for the whole year, we're guiding to 7% to 8% growth that's based on the deliveries of the aircraft deliveries that we have scheduled for this year, we are not expecting that to change much. And since most of the deliveries are at the end of the year, even if there were additional delays, the impact will be small in our ASM guidance for this year.
Alberto Valerio: Perfect. And my second one is about the yields. You guys have been performing better than the peers lately. And I'm wondering why lately, I'm saying, like, in the past three years after that. And you mentioned that the mix did not change between the US travelers and the Latin American travelers. But did it change in this small long space with we had for a couple more US travelers than you used to have before the pandemic at this moment?
Pedro Heilbron: Yeah. And what I meant to say or to refer to the mix between business and leisure and VFR year over year from 2024 to 2025. We're not seeing a change there. From pre-pandemic, there have been changes. And there is more US traffic. You're right in that. And we did have a bump up in yields that was significant right after the pandemic when there was limited capacity and strong demand. Capacity has caught up with demand pretty much. So right now, we are kind of back right now, we're back to 2019 yields, in a way. But, of course, our unit costs are much better. So we're delivering much better margins. And since the third quarter in 2022, we've been delivering margins over 20%, which is what we're guiding to for 2025 again.
Alberto Valerio: Fantastic. Fantastic. And welcome, Peter.
Operator: Thank you. One moment for our next question. It's from the line of Michael Linenberg with Deutsche Bank. Please proceed.
Michael Linenberg: Oh, yeah. Hey. Good morning, everyone, and welcome aboard, Peter. I gotta tell you, Pedro, you're probably one of the few airlines on this planet that you're seeing 2019 yields but lower cost. So almost as if you're from another place. But with that said, guess two questions here. When I look at the schedule for Wingo in 2025, it seems like supply is actually running down a bit. And I'm not sure is Wingo with does one airplane is one airplane going into maintenance or something? Are you shrinking that fleet, or are you just lowering the utilization given the fact that you know, Colombia overall has been an oversupplied market.
Pedro Heilbron: Well, two things that are going on with Wingo. One is that they might be flying more they are actually flying a little bit more domestic capacity. Which is shorter hauls overall net ASMs. And they do have some maintenance. So they will have some aircraft in maintenance, which they do during the low season. And we do reduce their schedules. They adjust their schedules to compensate for maintenance aircraft. So that's probably going on also, but they're getting a they're operating nine 737-800s, and they're getting a tenth 737-800 in the second half of the year. And their ASMs overall should be up there for that tenth aircraft and utilization is not coming down, excuse me. Utilization should be slightly up. But, anyway, we of course, we don't disclose specific Wingo information. And so you're probably looking at their published schedules.
Michael Linenberg: Yes. The changes should just be that. So maybe low season cost to cover for maintenance, but overall in the year, they will fly more. Especially with the tenth aircraft they're getting in the second half of the year.
Michael Linenberg: Okay. And then just, I guess, drives a follow-up. Low season Colombia one of those months you know, we're close to the equator. I always get a little confused. What would be the low season?
Pedro Heilbron: Like right now. April per month, and then the second half of the year is usually better than the first half of the year. So there's less low season in the second half of the year.
Michael Linenberg: Okay. I didn't when do I know you said you don't really provide results, but we know that again it's an oversupplied situation in that market. But we also know Wingo is a lower cost platform. So there may be an incentive even with additional you know, the capacity in the region you know, there's other markets you can serve with Wingo that it may be there may be a natural incentive to grow Wingo given that it has maybe a better cost structure than Copa mainline. Is that accurate?
Pedro Heilbron: Well, it is accurate, not by a bunch, by the way. At 5.8 is pretty competitive. So not by a bunch. We haven't grown Wingo in two years. We will stay because there is that overcapacity. It's flowing by one plane in which not there's nothing significant. It's about 10% in the second half of the year. And just because of all the dynamics in the Colombian market, lower yields, overcapacity or new capacity, and the fact that at Copa Holdings, we love bottom line profits. We just don't do crazy things.
Michael Linenberg: Okay. And now my real follow-up, because I know we got down that Wingo rabbit hole, just on cargo, you know, to see that you're adding another airplane. You know, that tariff situation and global trade and all that notwithstanding, the fact is you must be very pleased with the one airplane, willing to double the capacity. How should we think about cargo revenue? Is that doubling you know, over the next couple years with the second airplane? And you give us a sense of just, like, the margins or the profitability on cargo versus you know, pure freighter, I guess, I should say, versus your passenger business. Thanks for taking my questions.
Pedro Heilbron: Okay. Yeah. And, Mike, well, a few things with Cargo. We operate a single 737 Boeing converted freighter. So it's a single plane. Still, most of our cargo revenue comes from the belly of the passenger fleet. Of the passenger flights. So most of the revenue comes from that. The cargo plane has been very successful. The margins are very high for the cargo plane. So and much better than our last few planes flying the less profitable routes. But just one aircraft going to two. So it won't be a significant impact. Our current single freighter is flying over 300 hours per month on average, which is a it's a ton. It's a lot for a single plane. So once we have the two planes, the average hours per plane will not be nearly as high and we'll have more a backup. So it will be profitable. The margins are good, but it's not gonna be necessarily significant impact because overall, in the scheme of things, is one aircraft out of 120 plus.
Michael Linenberg: Okay. And is that one of your airplanes that's being converted, or is that coming from the outside?
Pedro Heilbron: Actually, it's a good way. That's a good catch. It's coming from the outside. So because of what you there's a lot of availability. A lot of things were converted, and there's not that much market right now. There is in our niche because our freighter is a niche operation. Which produces cargo that we also distribute in our passenger flights. So we do have the demand, but there was availability. So we're doing an operating lease of a freighter. And that way, we can keep our passenger aircraft, which we need because of the Boeing delays we all know about.
Michael Linenberg: Great. Thanks. Sorry for the long questions, but really, thank you very much.
Operator: Thank you. Our next question is from the line of Jen Spies with Morgan Stanley. Please proceed.
Jen Spies: Yes. Hello. Let me then congrats on the appointment, Peter. Looking forward to working with you too and meeting you in person. I have a question on the VFR in the US. We had a mention that they saw a bit of weakness since the US the new administration came into office, something related to, like, immigration concerns. And I was wondering, obviously, you have a very different network, but if you're seeing anything along those lines, along your booking curve. And also, you have to let let me first start that. Thank you.
Pedro Heilbron: No. We're not. Our US traffic it has VFR in the in the VFR systems. Vacations, etcetera, it also had year-round leisure traffic. And actually, our US network is doing better than before.
Jen Spies: Perfect. And just one follow-up. In terms of buybacks, I mean, considering where your leverage is and the cash you're generating, do you see any chance of accelerating a bit your buyback program?
Pedro Heilbron: The pace? So we have two ways we return value. We have a dividend policy, which it's usually 40% of the previous year's net income. This year, as we announced in the earnings release, yesterday, we're keeping dividends at the same level as last year, which means that it won't be 40% of last year's net income. It will be 44%. And then we have a buyback program of which we also communicated that we have executed $87 million out of the $200 million that is approved. So we have another $113 million available. So what we do in terms of your question is that we look at our dividend policy. We look at our available liquidity. Taking into account our CapEx needs. Given that we've had delays in Boeing deliveries, we have more liquidity than we had projected. We had projected maybe a year or two years ago. So that's the reason for our buyback program, which is in place. And I expect that buyback program to be finalized or executed throughout this year.
Jen Spies: Okay. Perfect. So the $200 million would be complete this year. Does it have a limit a time limit?
Pedro Heilbron: There's no line limit. No. No. There's no time limit.
Jen Spies: Alright. Great. Thank you.
Operator: You bet. Thank you. Our next question comes from the line of Daniel McKenzie with Seaport Global. Please proceed.
Daniel McKenzie: Oh, hey, guys. Thanks for the time here. Couple of questions. First off, with respect to growth this year, can you share any perspective on the percent of growth tied to frequencies versus newer markets or, you know, just some of the thought process behind where that growth is going, perhaps maybe the stronger economies in the region?
Daniel Tapia: Hi, Dan. Daniel here. So yeah. So the 7% to 8% growth is around two-thirds gonna be full-year effect that's Pedro alluded to, and around another 20% is gonna be frequencies and markets we fly today, and then the rest is some gauge because we have a higher seat count and for a prep and some new international course.
Daniel McKenzie: Okay. And second question here, I guess, you know, Pedro, going back to the earnings overhangs that have been called out over the past year and today, yeah. I know you have been through a lot of cycles and, you know, just taking to what's public in the local news there with respect to the Panamanian and Venezuelan governments. First off, is the Panamanian government working with Venezuela for normalized relations at this point and, again, whatever is publicly available. And then just on FX, is it as simple as just letting it annualize, or are there economic is there an economic growth dynamic that could offset you know, some of that weakness, you know, faster than perhaps you, yeah, you would think?
Pedro Heilbron: Well, in terms of Venezuela, I'm not aware that there are any conversations to normalize relations. We would like to see that, of course, but that's kind of like above our paycheck. And so, no, I don't think there's anything going on right now. Hopefully, before the year is over, it will be able to return to that very important market where we had service to five cities forty-two flights per week before the sudden cancellation at the end of July. So I'm hopeful that at some point, but there's no light at the end of the tunnel right now. The FX question.
Daniel McKenzie: Yeah. I just was asking go ahead. Question?
Pedro Heilbron: Yeah. Can you repeat it?
Daniel McKenzie: Yeah. Sorry. I was just asking if it's as simple as just letting it annualize before we see an improvement. Or whether there was economic growth dynamic that could offset some of that FX weakness.
Pedro Heilbron: Right. I mean, it could it look something that's gonna happen at the end of every quarter. So there could be a good guy at the end of this quarter depending on the currency but then at the end of the year, we'll have the final number.
Daniel McKenzie: I see. Okay. Thanks for the time, guys.
Operator: Thank you. And our last question one moment, please. Comes from Stephen Trent with Citi. Please proceed.
Stephen Trent: Good morning, gentlemen. Thank you very much for the time and Peter as well. Welcome and looking forward to working with you. Thank you. Just one or two from me. First, I was curious. You guys think about your jet fuel tariffs and expense, you know, I know you don't service like Brazil domestic where jet fuel tariffs seem super high, but you have any sort of outlier markets where you know, your jet fuel carries in is sort of measurably more expensive than sort of, you know, the general level.
Pedro Heilbron: I think what's important, Steven, is that we're not at a disadvantage anywhere. And there isn't, like, a market I mean, the one market that will be critical for us is our home market, our hub market, here in Panama. But Panama is a competitive market due to geographic location, the logistics of Panama, it's we are a transshipment and a point, and there's a lot of storage capacity. And oil companies. So we are not at a disadvantage when where it's most important. We're actually in a competitive market, so we're okay in that sense.
Stephen Trent: Great. Pedro, appreciate that. You know, and maybe another kind of a follow-up to what Dan was asking. You know, when we think about sort of geopolitical changes or political changes in the Americas and one thing people are kind of looking at are M&A and alliances and what have you. And I know you and United Airlines have a very good one. Do you see any possibility to make any pivots here in terms of how much you could collaborate with them, or maybe there are additional layers you could add to that. Today, versus, you know, one we could have done over the previous four years perhaps?
Pedro Heilbron: Yeah. We have a as you mentioned, we have a very strong relationship with United that goes back twenty-five years from the continental days. And I think it's pretty complete. And that we co-share. We have total reciprocity in our frequent flyer programs. We even at times can plan capacity additions like the San Francisco PTY service that United is gonna start in May and it's gonna connect their strong Asian network with Panama. From here, we'll connect it with South America. So it's pretty it's not a JBA or so I think that's really fine and in a good place. In terms of some of the other stuff, that's going on, we're always happy with where we are. We cooperate with European carriers. We cooperate with the rest. In that sense, we tend to do what's best for the business and in a very open-minded way knowing that to cooperate is a two-way street. And we try to make others better and same for ourselves. Especially with airlines, we do not compete against, and that we can be complementary. As long as I'm answering your question now, I'm going against around circles, but we can be more specific if you want, Steven.
Stephen Trent: No. This was great, Pedro. Just sort of wanted to get the high-level view on that. That was perfect. Thank you.
Pedro Heilbron: Thank you. Thanks.
Operator: Thank you. And this concludes our Q&A session, and I will turn it back to Pedro Heilbron for his final comment.
Pedro Heilbron: Okay. Thank you all. As always, thanks for participating in our quarterly call for your continued support. Peter will start March 10. And he'll be very available, of course. And he knows Copa very well. He's been with us five years, and I know you will enjoy working with him. And of course, Daniel, who did an excellent backup to Jose today. Thank you, Daniel. You know Daniel very well, so he's also available. As I am myself. And maybe just to emphasize, as I've mentioned, in previous calls, we've been preparing for years to be a more competitive carrier. To be able to compete with success under any manageable compensation, of course. And that's why we've been able to lower unit cost. We have total focus in lowering our unit cost in strengthening our network and having a product that is today a great advantage for Copa Airlines and this whole region. And that's why we've been able to deliver strong results. It's something that we're confident we can continue doing in 2025 and beyond. So thank you all, and we're here, and see you in the next call.
Operator: And ladies and gentlemen, thank you for your participation. That concludes the presentation. You may now disconnect, and have a wonderful day.